Operator: Good morning. My name is Chris, and I'll be your conference operator today. At this time, I'd like to welcome everyone to the CareMax Third Quarter 2022 Financial Results Conference Call. All lines have been placed on mute to prevent any background noise. After the speakers' remarks, there will be a question-and-answer session. [Operator Instructions] Thank you. Samantha Swerdlin, Vice President, Investor Relations, you may begin.
Samantha Swerdlin: Thank you, and good morning, everyone. Welcome to CareMax's Third Quarter 2022 Earnings Call. I'm Samantha Swerdlin, Vice President of Investor Relations, and I'm joined this morning by Carlos de Solo, our Chief Executive Officer and Kevin Wirges, our Chief Financial Officer. During the call, we will be discussing certain forward-looking information. These forward-looking statements are based on assumptions and assessments made by CareMax's management in light of their experience and assessment of historical trends, current conditions, expected future developments and other factors they believe to be appropriate. Any forward-looking statements made during the call are made as of today, and CareMax undertakes no duty to update or revise such statements whether as a result of new information, future events or otherwise. Important factors that could cause actual results, developments and business decisions to differ materially from the forward-looking statements are described in the company's filings with the SEC, including the section entitled Risk Factors. In today's remarks by management, we will be discussing certain non-GAAP financial metrics. A reconciliation of these non-GAAP financial metrics to the most comparable GAAP measures can be found in this morning's earnings press release. With that, I'd now like to turn the call over to Carlos.
Carlos de Solo: Thank you, Samantha. Good morning, everyone, and thank you for joining our call today. I am pleased to report that we delivered another quarter of solid results, demonstrating the consistency in our operating model and continued execution of our strategy. Revenue growth was strong with revenue up 51% year-over-year. Medical expense ratio improved to 75.2% from 75.4% in Q3 last year. Notably, any of our centers for the first nine months of the year remains below 70%. Adjusted EBITDA grew to $9.2 million for the third quarter, up from $1.2 million for the prior year. We ended the quarter with 39,500 Medicare Advantage members, up 49% year-over-year. This growth exceeded our expectations, which is a testament to our differentiated care model and the value we provide to our members. As a result of our continued momentum, we are raising our full year revenue outlook, which Kevin will provide some detail shortly. We continue to see strong performance on the operational side. We put tremendous effort into ensuring members across our CareMax family have access to consistent high-quality care. Among other initiatives, this quarter, we expanded specialty offerings at our newer centers, and we underwent an extensive physical rebranding across our footprint to enhance our one CareMax value proposition ahead of the annual enrollment period. These efforts are already paying dividends with 92% of our patients already seen as of September and our overall Stars rating tracking well above four stars. Earlier this year, we began opening centers outside of the core Florida market by expanding our presence to Memphis and New York City. We now have four centers in New York and are seeing encouraging results. We've already surpassed our membership goals and now have over 600 patients, thanks to strong organic sales from our team and hiring of PCPs with deep roots in their community. We also recently launched our in-clinic dental offering, providing much needed access to dental care services for Medicare Advantage enrollees in New York City. We believe that the addition of this offering will be highly attractive to seniors and will serve as a key point of differentiation from others in the market. Lastly, as a reminder, we recently opened our East Flatbush location in collaboration with Elovent [ph] Health, and we are working together to grow membership. We look forward to building on this strategy as we expand to additional communities across the country. I'd like to provide more details on the pending Steward closing in a moment, but first, let me provide an update on our pilot in the Space Coast of Florida. Recall, our Space Coast strategy was established to demonstrate the transition of Steward's value-based care physicians to CareMax's platform. We've begun rolling out some key initiatives in the pilot, including conducting clinical training sessions for PCPs and care teams, deploying additional coding and quality resources, providing prioritized lists of risk-stratified patients and distributed weekly updates to market leadership. As a result of these initiatives, we've already seen over 75% of members have identified opportunities to close gaps in care and saw corresponding reduction in emergency visits and hospital admissions. Based on the encouraging results we've seen to date, we plan to expand our de novos in the Space Coast market to complement and enhance the services already provided to the Steward network. Similarly, our recent opening in Houston also supports our future de novo growth plans in connection with Steward. Finally, I'm excited to announce that our stockholders overwhelmingly approved the issuance of stock in connection with our pending acquisition of stored value-based care at our recent annual meeting. The transaction is expected to close promptly. We believe this transaction will be transformative to health care delivery, providing us with the scale to deliver value-based care throughout the country. Upon closing the transaction, our network will expand to approximately 2,000 providers and 200,000 senior value-based care patients in 10 states across 30 markets. Moving on to our integration plans. We've hosted numerous town halls with Steward physicians, providing education and resources designed to ensure they are successful in deploying value-based care. We have plans to begin collaborating with Steward physicians to develop sales strategies for the ongoing AEP, assisting them in scheduling annual wellness checks for their patients and working with them to close gaps in care through the remainder of the year. Through our engagement with these providers, we've also begun identifying which provider groups make sense to move into the hybrid models. As a reminder, hybrid locations will vary depending on the physician practice but will resemble our CareMax center model. We believe these centers will require much lower capital intensity than a de novo location as we anticipate being able to retrofit existing space. We believe hybrids will be able to generate mature contribution margins in excess of 15%, and we already have a pipeline of these potential opportunities. We've also accelerated our hiring efforts, bringing on an additional 70 individuals in positions such as quality coordinators, care managers and provider relations managers among others. Further, we have staffed every new market with leadership and recently hired a new Chief Digital Officer. With these additions, we are confident we have the right talent in place to execute on our integration and growth plans. On the payer side, we are already making good progress in preparing to transition a portion of the Steward Medicare Advantage, fee-for-service live and new Medicare value-based care arrangements. These are on track to be effective at the beginning of 2023. We are encouraged that our payer partners have been highly receptive to aligning with us on our strategy as they look to shift more of their business into value-based care arrangements. Recall that following the closing of the Steward transactions, we will have access to an additional 380,000 MA fee-for-service beneficiaries, and we believe that we will eventually be able to transition a portion of those patients into risk-based arrangements. Since we founded CareMax and established our whole person health model, we have taken an innovative approach to building our proprietary system, which blends targeted technology and comprehensive high-touch care and in turn, drive our strong results. We remain very deliberate about our growth plans and believe that our hybrid delivery model of a capital-light MSO, combined with our high-performing centers differentiates us from others in the health care industry. Our national MSO expansion plans are designed to provide economies of scale to allow our business to grow in a capital-efficient manner. Once we've identified markets with significant opportunity for success, we plan to strategically deploy de novos in areas in which we already have MSO membership density and strategic relationships. We believe this strategy will reduce the initial cash burn we would otherwise have entering new markets without established patients and will accelerate the timeline to profitability. Our core business continued to deliver robust results as a testament to our best-in-class model and the value we provide to our patients. We believe our acquisition of Steward value-based care will be a transformative milestone for us, firmly establishing our industry leadership and creating a pathway for CareMax to further integrate value-based care into the health care delivery system. With our presence in multiple markets across the country, we will be able to bring critically needed health care to seniors, providing better outcomes, reduce cost and improve quality of life. We look forward to realizing the benefits of the Steward acquisition and leveraging our experience in managing at-risk populations to drive sustainable growth and enhance value for our stakeholders. Before I hand the call over, I'd like to take a moment to recognize our team in responding to Hurricane Ian. Through their efforts, we were able to ensure the safety and security of our team members and patients. While we only operate a few centers in the impacted areas, we were able to remain operational during that time. Further, our team went above and beyond to support our colleagues who were personally impacted by the storm. Their constant hard work and dedication enables us to deliver on our mission of providing health care with heart to seniors. With that, I will turn it over to Kevin to provide greater detail on our third quarter financials.
Kevin Wirges: Thanks, Carlos, and good morning. We delivered another strong quarter, again beating internal targets on membership, revenue and adjusted EBITDA. As a reminder, you can find a reconciliation of our GAAP to non-GAAP metrics like adjusted EBITDA in our press release and earnings presentation. Total revenue for the third quarter was $158 million, up 51% compared to the third quarter of 2021, including 60% growth in Medicare risk revenues. We saw a healthy member growth quarter-on-quarter across each of our Medicare, Medicaid and commercial lines of business. Since becoming a public company last year, we have nearly doubled our Medicare members to 39,500 as of September, already surpassing our initial full year guidance and on track to exceed 40,000 by year-end. Due to this continued growth, we are increasing our full year revenue guidance from $580 million to $600 million to $600 million to $620 million. Between our core organic sales, de novo expansion and MSO growth, we remain confident in sustained momentum across our multi-pronged growth strategy heading into 2023. Other revenue was $16 million, more than double from Q3 last year. As a reminder, among other things, other revenue includes capitation and surplus sharing from patients we don't take full risk on. In Q3, we recognized retrospective revenues related to strong performance under certain partial risk contracts. Absent other true-ups for modeling purposes, we would expect this to normalize to roughly $10 million in the fourth quarter. Medical expense ratio was 75.2%, reflecting continued mix shift toward MSO patients. As we've noted on prior calls, we believe our platform is uniquely equipped to achieve attractive medical margins across the spectrum of value-based care from patients staying at our clinics to those seen by providers in our MSO network. MSO patients typically come with higher MER but little incremental OpEx, making them not just a capital-efficient way for us to grow, but also an established pipeline to absorb exceptional providers into our clinic model. Beneath our consolidated MER, we are pleased that our year-to-date MER at our centers remains below 70%. As of quarter end, our platform contribution margin reached its highest level this year, even with the additional costs incurred from the three centers opened in the quarter. Other expenses, including cost of care, sales and marketing and CG&A were approximately stable from the second quarter as we continued to find cost efficiencies to help fund our investments. In the fourth quarter, we have opened three more de novos, bringing our total center count to 54 and are well on our way to ending the year with 60. As Carlos noted, we are already starting to see the fruits of our strategy in New York, where we believe our collaborations with Evolent Health and the related companies give us a differentiated advantage. We look forward to creating further value from these key relationships in our new Steward markets. Adjusted EBITDA for the third quarter was $9.2 million, bringing year-to-date adjusted EBITDA to $24.5 million and keeping us on track for our guidance of $30 million to $40 million for the full year 2022. Our base case is to land approximately around the midpoint of the range, but we acknowledge factors that leave room for both upside and downside. Seasonally, in Q4, we tend to see more patients hit stop loss deductible levels and the Medicare Part D limits. Members may also hold off on certain elective procedures around the holidays. These factors would have a favorable impact to MER compared to prior quarters. As an offset, we expect to continue to grow our MSO base with near-term dilutive impacts on margin, deploy additional marketing spend to capture membership during AEP and continue to invest in corporate overhead to support our growing platform. At the end of the third quarter, we had $53 million of cash, $184 million of debt, net of unamortized discounts and $110 million of undrawn delayed draw term loans. We subsequently drew down $45 million from our delayed draw term loans to fund the Steward acquisition and expect to take on incremental debt to finance Steward's 2022 Medicare shared savings receivable in connection with the closing of the transaction. Further details on any financing entered into in connection with the closing of the Steward transaction will be shared upon closing. While we plan to provide more formal 2023 guidance on our fourth quarter call, I do want to orient our audience directionally on the moving pieces in our business. First, we expect our core CareMax business to continue to grow in membership, revenue and adjusted EBITDA. Remember, this represents the 45 centers we began the year with, which excludes losses from de novos opened this year and beyond. We believe there remains ample growth opportunity in even our most mature markets. Our core centers still have capacity to grow membership by more than 50% and overall Medicare Advantage penetration in Central Florida is still below 60% compared to over 70% in South Florida. Second, we plan to continue executing on our de novo growth strategy next year. The Steward acquisition allows us to be even more selective when determining which sites to open. We have a pipeline of approximately 10 de novos in 2023 that we believe can leverage our complementary relationships across either Steward, Elovent's, related or a combination. The upcoming Space Coast de novos and hybrid opportunities Carlos alluded to are a great example of this. Our highly strategic approach toward de novos is the foundation for growing our business in a disciplined, capital-efficient and sustainable way. Third, as our proxy statement indicated, we believe Steward has the potential to be meaningfully accretive to adjusted EBITDA. This not only adds further cushion to support our financial leverage but also allows us to make the necessary near-term investments to transition Steward Medicare lives to value-based care. By empowering Steward's 1,800 MSO providers to take risk on patients and aligning their economic incentives with ours, we think PMPM margins on Steward's BBC beneficiaries can ultimately look a lot like CareMax does today. With this transaction, we believe we have the right team and expertise to positively impact the well-being of hundreds of thousands of seniors and potentially bring a $100 million-plus EBITDA opportunity to fruition along the way. Operator, we will now open it up for questions.
Operator: Thank you. [Operator Instructions] Our first question is from Andrew Mok with UBS. Your line is open.
Andrew Mok: Hi good morning. External MLR was up about 160 basis points sequentially. I think previously, you said that MLR was expected to improve due to patients hitting their deductibles on stop loss and prescription drugs. So, what were the developments in the quarter that prevented the expected improvement in MLR?
Kevin Wirges: Andrew, it's Kevin. Yes. So, there's a couple of factors. One, if I take you back to where we target MLR specifically for our clinics, which is in that sub 70% range, that's the important component for the clinics. Within our MSO business, our targeted MER that we're achieving is that 85%. So, as we grow our MSO business at a faster clip, faster than we had anticipated, we could expect to see some of that deviation on the MER, -- nothing within our clinics. As we've said on the call, and as we've seen in the data, our 2022 year-to-date MER within our clinics are still at that sub-70. So, this really pertains to this influx of new patients that we're getting on the MSO side.
Andrew Mok: Got it. Are you able to share the MSO membership with us? It seems like that's an important driver to understand the changing shifts in the P&L?
Kevin Wirges: Yes, I think that's something that we could share. Sure.
Andrew Mok: Okay, great. And then year-to-date, you've incurred about $5 million of CapEx for nine clinics opened so far and 15 targeted this year. First, is that CapEx outlay the right way to think about the CapEx requirements of additional clinic openings? And two, to the extent that some of those opening costs are financed by strategic partners, where exactly is that being charged against you on the P&L?
Kevin Wirges: Great question. Yes. So, from a CapEx standpoint, I think early on when we looked at the de novo strategy, we were targeting the $2 million to $3 million range per clinic for the CapEx. What we've been able to do is find tenant financing, landlord type financing, for those build-outs. And So, what you'll see is a lot of that is going to be within our rent expense going forward once those clinics are open. So, it's on a clinic-by-clinic basis as we look at where we're opening, but we're always going to be strategic and attempt to open these clinics in the most capital-efficient manner.
Carlos de Solo: I'll just add to that. We do expect to see a significant reduction in that capital outlay both on the OpEx and CapEx, specifically due to the Steward transaction as we start opening up centers in collaboration and open up either tuck-in or seated de novo's that already have membership and some of them are already retrofitted in very large locations, as we discussed at the beginning of the call.
Andrew Mok: Got it. That's helpful. And then Kevin, towards the end of the prepared remarks, you made a comment that patients may hold off on procedures around the holidays, which could help Q4 MLR. I think most people running ASCs are expecting an acceleration in procedure growth into Q4 this year. So, just curious, were there any hard data points or anecdotes that you were hearing that was driving that comment? Or is that just something that it's more speculative that could happen around the holidays. Thanks.
Kevin Wirges: Yes. Thanks, Andrew. Yes, that's -- based on our historical data that we've seen for the last 10 years and running the clinics down here in South Florida, we've seen that most folks just don't like to do procedures during the holidays. And so, they will -- those types of procedures tend to slow down in Q4.
Andrew Mok: Got it. Is procedure growth up sequentially usually in Q4?
Kevin Wirges: I'm sorry, what was the question again?
Andrew Mok: Its total procedure growth up throughout the whole quarter, including holidays and non-holidays, is that usually up sequentially in Q4?
Kevin Wirges: No, it's not. Not in the data that we're seeing, no.
Andrew Mok: Okay, that's helpful, thank you.
Operator: The next question is from Brian Tanquilut with Jefferies. Your line is open.
Unidentified Analyst: Hi, good morning and thanks for taking my question. This is Pagie [ph] on for Brian. So, my first question just has to -- is related to your guidance for EBITDA. Just trying to understand the seasonality of the business and any directional insights you can share on your EBITDA given that I'm tracking the range between $15 million and $5 million. So, any insights you can share for modeling purposes?
Kevin Wirges: Sure. Yes. So, we are targeting our base case is to target the midpoint of that range. Seasonality does play a factor in Q4 for the factors that we mentioned, which are the stop-loss deductibles, patients typically not wanting to have those elective procedures during the holidays. And then also the Part D limits as folks begin to hit the doughnut hole, that cost tend to shift around. So, there's less cost that flows through to the risk-bearing providers. So, those are all the favorable impacts that we would expect to see from a Q4 standpoint. The other items or the other offsets that we would expect to see are just as we continue to grow this base of -- on our MSO side, those patients tend to come in with pretty high MERs initially. And so, as that becomes a larger percentage of our business, our overall book of business, it could deteriorate the MERs or at least bring them back into something that could be more realistic with Q2 or Q3. And then in addition to that, we do have some marketing spend that we're going to do for AEP, and we do need to invest in the organization ahead of the Steward acquisition.
Unidentified Analyst: Great, thanks for that information. And then kind of just going back to your comments around your hybrid model versus the de novo clinics, can you just discuss what informs the decision to transition to more of the hybrid model that you were discussing versus the traditional de novo? And also, if possible, quantify how you're expecting this to shift or accelerate your pathway to positive free cash flow?
Carlos de Solo: Yes. So, the decision to go into a hybrid model is specific to the practices that we're working with. When we think about a hybrid model, we're usually targeting larger groups or provider groups that have greater competencies, right? It's not your typical one or two physician groups. These are groups that have physicians, specialists in many cases, even have lab diagnostics. So, what we generally do with these providers and what we are doing is we're building out within their facility effectively a senior center and branding that CareMax and operating very much like what a de novo or Care Max Medical Center looks like. So, that's very much dependent on those practices that we identify. And then on the other practices, right, we -- if we have an area that has significant density with smaller providers, that's where we would elect to build a de novo and then fill those in with what we call acquihires and those specific physicians that have grown significant panels. And then the ones that don't shift over to a de novo, those will remain as a productive MSO or IPA in our group model. And the idea there is this is a capital-efficient way to grow our business in that -- and specifically in the hybrid model, it's less capital intensive from a CapEx perspective, OpEx because you're retrofitting space, and we're able to get to those kind of unit economics without having all that capital outflow initially.
Unidentified Analyst: Great, thank you.
Operator: The next question is from Joshua Raskin with Nephron Research. Your line is open.
Joshua Raskin: Thanks good morning. I was wondering if you could talk a little bit about the outlook, your view of Medicare Advantage market growth, specifically in the areas where you've got your centers and maybe conversations with payer partners understanding that's early, but just benefit changes and other things that could inform sort of core organic growth for next year?
Carlos de Solo: Yes. We're very bullish on Medicare Advantage growth. As you know, by 2026, we expect Medicare Advantage to be well over 50% of all Medicare recipients. We've talked significantly about CMS' commitment to Medicare and value-based care and their expectation that all seniors will be in a value-based care program by 2030. So, we're very bullish on that. And more specifically, even in the areas that we're in, we see tremendous white space. The conversations we've already had with the payers as we think about the Steward integration almost all of those contracts have been completed, and we've seen just tremendous positive receptivity from the payers in wanting to have a value-based care partner, value-based care relationships in a lot of these areas that we're going into in Texas and Massachusetts and in some of these areas where Steward has a significant presence. So, we're actually very, very excited about all of the progress that we've made with all of these payer partners in securing all of these contracts prior to even finalizing the deal.
Joshua Raskin: Got you. And then could you just provide more color? I heard sort of 10 de novos in the pipeline? What are the headwinds or tailwinds or sort of the deciding factors on whether those get built? And if you could just give us a sense of are those in existing markets that you have? And where is the demand that you're seeing there?
Carlos de Solo: Yes, those are in existing markets, and we're moving forward with those medical facilities. With respect to kind of guidance and how we're thinking about de novos in the future years, it's really going to be dependent on those specific areas where we continue to gain that density and then take advantage of being able to build out new medical centers in a capital efficient way by bringing in, as I mentioned in the earlier question, those physician groups that we can pull together to open up de novo. So, that's going to frame a lot of our decision making. We're going to be opportunistic in the way that we think about that. And when we -- at the beginning of next year when we give guidance on Steward and the next year, we're going to talk in detail about what that looks like.
Joshua Raskin: Okay, thanks.
Operator: The next question is from Jessica Tassan with Piper Sandler. Your line is open.
Jessica Tassan: Hi, thanks for taking my question. Can you just clarify if the affiliate growth strategy is something that you guys are pursuing in conjunction with the Steward transaction or are you even accelerating outside of the Steward transaction?
Carlos de Solo: Yes, we're accelerating outside of the storage. So, obviously, we've just ingested a lot of membership in the Steward transaction we discussed. It's 100,000 MSSP members, 50,000 Medicare Advantage value-based care and an opportunity to convert a lot of that 380,000 Medicare Advantage fee-for-service. But we have a significant business development team that's built out working with strategic partners and payers to work in communities that have a need for a tech-enabled MSO company like ours to come in and professionally manage these. And that's just going to further our opportunities to continue to build density in these markets, our specialty networks and further drive both our MSO and seated de novo strategy.
Jessica Tassan: Got it. So, I guess just my question is like given all of these things sort of -- or just given the sort of the number of new initiatives, how are you prioritizing in terms of time and also dollar investment? Like what's your priority for the Steward integration in the first six months, 12 months? And how are you thinking about that relative to investing in these affiliates?
Carlos de Solo: Yes. Look, the advantage of the MSO strategy is that it's a capital-light strategy. We've already built the platform to support that. And it's -- once you've built the platform, you've got the technology, you've got the people, the process, the leadership team. It's very easy to scale that and to build the infrastructure in those specific markets that we continue to enter. So, we're not concerned about the ability to continue to ingest significantly more membership than even what we have in the Steward transaction. And then as we consider the de novo transaction in complement to these strategies, that's where I was mentioning to Josh, that's where we're going to be opportunistic, and we can accelerate and pause there as we consider kind of capital needs and growth from that perspective.
Jessica Tassan: Got it. And my last one, just can you break out the mix of your managed MA lives are in Florida versus other states?
Kevin Wirges: Yes, Jessica, the bulk of our membership today is obviously in Florida. From an outside of Florida standpoint, from a risk-bearing contracts, if you recall, a lot of our strategy is when we enter into these markets, we're not going to take risk Day 1. We needed to professionalize the organization. We need to bring patients in, have them buy into the medical management. And so, we don't typically take risk on those contracts Day 1. So, if you're specifically looking for risk type of membership, it's a little to none outside of Florida. Nearly all of our risk patients are in Florida today. Those contracts do have the ability to flip to risk. We've negotiated those contracts so that an 18- to 24-month period, there's a pathway to risk because ultimately, we know that, that unlocks the most value for our organization.
Carlos de Solo: Yes. And once we close the transaction in the next couple of days here, we'll be able to give detailed information as to where all of the Medicare Advantage members are. There's a significant amount of membership in Texas. There's a significant amount of membership in the Massachusetts area. So, we'll be able to break it down by market. Additionally, as we mentioned on the call, New York continues to exceed expectations. We're growing faster, creating deep grass roots presence within that community, and we're excited about the results that we're going to drive. So, we'll be able to break that down by market.
Operator: [Operator Instructions] The next question is from Jailendra Singh with Truist Securities. Your line is open.
Jailendra Singh: Thank you, and thanks for taking my questions. Good morning everyone. My first question is around Medicare Advantage star ratings, which have been under focus with the industry expecting a decline. I was wondering if you could share your views and exposure there. How are you thinking about the impact of decline MA plans are talking about for 2024 pro forma for Steward transaction? And how are you thinking about the potential offset drivers there?
Kevin Wirges: Jailendra, it's Kevin. Yes, as you mentioned, the recently released star ratings really don't impact us until the 2024 premiums are out. Obviously, the health plans are going to go through their bid process. We've reviewed our contracts specifically with the health plans that we have today in detail. I don't believe there's a material impact on what we're seeing and we've had conversations with the health plans, and it's been encouraging conversations thus far. What I can say is historically, when health plans do have star rating fluctuations, there tend to be adjustments that happen on the enhancement benefit side. Again, we think it's really important for us to stay payer-agnostic, which really protects our patients from any unfavorable shifts in those benefits. It also gives them the opportunity to maintain the relationship with the PCP and potentially switch to health plans that have better quality ratings.
Jailendra Singh: Okay. That's helpful. Then my next question around MSSP with the Steward deal, adding a significant amount of MSSP lives, I think we have 600,000 [ph] something. In the mixed results we've seen from some public peers on the MSSP side. Can you speak to how you're thinking about the 2022 results on MSSP? And I'm not sure if you can speak to the 2021 performance year [based on] Steward, but any thoughts, any color that would be helpful.
Carlos de Solo: Look, we're excited about the MSSP. We think it's a great program, and we think it's a stepping stone into true value-based care. As we implement all of our processes to manage value-based care, we're going to implement the similar processes for all of that MSSP membership in terms of how we create preferred network, how we capture acuity, how we train those physicians using our CareMax University. So, we think that the impact we'll be able to make on those MSSP results is going to be significant. Steward has done a good job of managing that membership to-date, but we think we can really professionalize that and have a much, much greater impact. I know in this past year, I think from a savings perspective, Steward performed well. There were some benchmarking, I think, nuances that affected some larger providers this past year, and I think, impacted some of those underserved communities. We don't expect that to be a significant issue in the following year in our discussions with Milliman [ph] and some of the actuaries.
Jailendra Singh: Okay. And then my final question, the new role and hire of a Chief Digital Officer for the company. Can you spend some time in terms of the near-term as well as longer-term investment opportunities you see in that area from -- and are likely to focus on any more digital investments now versus what you had done in the past?
Carlos de Solo: Yes. Look, with respect to technology, we're always enhancing and perfecting our technology. We think that our strategy of our proprietary technology model, combined with our -- with kind of the high-touch care is the future of health care and how you kind of interlay that with value-based care. So, we're always going to continue to make those significant investments in the technology side, and we wanted to make sure that we had a leader in the company that reflected those same sentiments. So, we hired an incredible Chief Digital Officer that we're really excited about and we believe that, that really takes us into kind of the next stage of value-based care. So, we will continue to evaluate that continuously and continue to make improvements in how we deploy our technology, both on the affiliate side and on the de novo side.
Jailendra Singh: Great, thanks a lot.
Carlos de Solo: Thank you.
Operator: We have no further questions at this time. I'll turn it over to Carlos de Solo for any closing remarks.
Carlos de Solo: Thank you. I would like to thank everyone for joining our call today and for supporting the company. We're very excited about our momentum and the imminent closing of the Steward transaction. We look forward to continuing to execute on our strategy and realizing the significant benefits of the Steward transaction. As we drive sustainable growth and enhance value for our stakeholders, we will keep you updated on all of our progress. Thank you, and have a great day.
Operator: Ladies and gentlemen, this concludes today's conference call. Thank you for participating. You may now disconnect.